Operator: Good day and thank you for standing by. Welcome to the Q3 2024 Frontline plc Earnings Conference Call and Webcast. [Operator Instructions] Please note that today's conference is being recorded. I would now like to turn the conference over to your speaker Mr. Lars Barstad, CEO. Please go ahead.
Lars Barstad: Thank you very much dear all and thank you for dialing into Frontline's quarterly earnings call. Thank you markets and stocks don't move in a straight line I believe the last months have told us that. We have previously argued we are in a period comparable to the 2002 to 2008 Bull run, although supply of tonnage driven rather than fueled by strong oil demand growth. That comparison still holds, I'd argue and as an example in November 2004 the market was said to be doomed and we corrected more than 30%. The Bull rally resumed a few weeks thereafter and we were off for the skies again. For the same reasons, it's difficult to predict the bearish sentiment, the Bull runs are equally hard to call to. So before I give the word to Inger, I'll run through RTC numbers on Slide 3 in the deck. In the third quarter of 2024, Frontline achieved $39,600 per day on our VLCC fleet, $39,900 per day on our Suezmaxes and $36,000 per day on our LR2/Aframax suite. So far in the third quarter, we've booked 77% of our VLCC days at $44,300 per day, 70% of our Suezmax days at $39,600 per day and 60% of our LR2/Aframax days at $34,800 per day. And again, all numbers in this table are on a low to discharge basis, with the implications of balance days at the end of the quarter. The market has not offered us the numbers we hope for, but we are operating a decent margin still. With that, I'll let Inger take you through the financial highlights.
Inger Klemp: Thanks, Lars and good morning and good afternoon, ladies and gentlemen. Let's then turn to Slide 4, the profit statement. We report profit of $60.5 million this quarter or $0.27 per share and adjusted profit of $75.4 million or $0.34 per share. The adjusted profit in this quarter decreased by $62.8 million compared to the previous quarter and that was primarily due to a decrease in our TCE earnings, coming down from $357.7 million in the previous quarter to $292.2 million end of this quarter. That results from lower TCE rates in the third quarter, compared to the second quarter. Let's then look at the balance sheet at Slide 5. The balance sheet movements this quarter are related to refinancing to reduce debt in addition to ordinary items. Frontline has a solid balance sheet, a strong liquidity of $526 million in cash and cash equivalents, which includes an undrawn amount of the senior unsecured revolving Fed facility, marketable securities and minimum cash requirements as per the September 30, 2024. We do not have any remaining new building commitments and we do not have any meaningful debt securities until 2027. If we then turn to Slide 6, our fleet consist of 41 VLCCs, 22 Suezmax tankers and 18 LR2 tankers. The fleet has an average age of six years and consist of 99% eco vessels, where 56% is scrubber fitted. We estimate average cash breakeven rates for the next 12 months of approximately $29,600 per day for VLCCs and $23,400 per day for Suezmax tankers and $22,000 per day for LR2 tankers. This gave the fleet average estimate of about $26,300 per day. This fleet average estimate includes drydock of five VLCCs and two Suezmax tankers in the next 12 months, where two VLCCs are drydock in the fourth quarter of 2024, one Suezmax in the first quarter of 2025, one VLCC and one Suezmax in second quarter of 2025 and two VLCCs in third quarter of 2025. This quarter we recorded OpEx expenses including drydock of $8,700 per day for VLCCs, $7,900 per day for Suezmax tankers and $7,800 per day for LR2 tankers. This includes then drydock of two VLCCs. The Q3 2024 fleet average OpEx excluding drydock was $7,900 per day. Then let's move to Slide 7. Despite current challenged spot market, Frontline generates a decent positive cash flow and with 30,000 earnings days annually, Frontline has a substantial upside potential. As you can see from the graph on the right hand side of this slide, the cash generation potential at current fleet and spot market earnings from Clarkson Research as of November 26 is $304 million or $1.36 per share and with a 30% increase from current spot market, it will increase the potential cash generation with about 100%. With this, I leave the word to Lars again.
Lars Barstad: Thank you very much, Inger. So the current market narrative is somewhat mixed. Global oil supply is increasing, but demand growth is very much muted, I'm on Slide 8 now. The geopolitical risk linked to Middle east continues and it's very important to see how the new kind of U.S. policy is going to be going forward. 17% of the shipped oil is in the market is sanctioned and 6% of global consumption includes sanctioned barrels. The very recent tariffs on Canada and Mexico may increase in efficiencies in oil flows, but more importantly the order books have stopped growing for tankers, as containers are starting to take the stage again. If you look at the chart on the right hand side, this is basically compare the balance between supply and demand according to EIA, which is the orange line versus the tanking markets and how they performed over the years. What we see and this is notable is that although demand is quite disappointing somewhat expected to continue to grow. And when we move into 2025, we are looking to be in an oversupplied market again on tankers with kind of with affects you then have on utilization on tankers. At the bottom three slides of the bottom three charts of this slide, you can see kind of how these markets are actually range bound, although at a very, very low level, apart from an exemption of the clean market, the LR2 exposure which has corrected sharply during the period. Let's move to Slide 9 and look at the key oil flows. So as I mentioned previously, overall global demand growth is neutral year-to-date and this is across all regions. We do see oil supply continuing to rise and this is predominantly happening around the Atlantic Basin. Countries like North America, Brazil, Guyana and to some extent West Africa are increasing supply to the market. But the challenge we have is that this increase or increments of barrels tend to stay local. By local I mean to remain in the Northern hemisphere, of course going into Europe to replace the lack of Russian barrels, but also trading into regionally. Having said that, it's a pretty stable flow of oil leaving the Atlantic Basin going to Asia, but there's no growth to be seen in those barrels. This basically means that although we've had for years a positive effect on ton miles as oil has traveled in general further, what we've seen over the last period is that the ton miles have actually not depreciated more than the volume coming out and actually to some extent reduced. If you incorporate what's the compliant fleet and what's not. We see the sanction exposed oil market as a share of Asian demand has reached a whopping 25% in Q3 2024 and this we would argue that tells us that the tanking market is increasingly exposed to any changes in sanctions and policies going forward. Let's move on to Slide 9 and have a look at the order books. The order books have increased materially during the year and specifically so for Suezmaxes and for LR2/Aframaxes, but also to a great degree on VLCC. But at the same time, we are seeing that the fleet continuing to age as virtually zero ships have been sold for recycling. If you look at the current VLCC fleet, the order book is equating to 76% of the existing fleet, while 14.8% of the fleet is above 20 years and not trading the market that we recognize ourselves with. On the same metrics for Suezmaxes, the order book is now equal to the population of ships that are above 20 years. Sorry, on the LR2 slope, we see that there is a whopping amount of ships on order. But if you take the LR2s and from combined as there are very few unquoted Aframaxes being on order, the picture becomes more balanced where you get [technical difficulty] the Suezmaxes where there is an equal amount of vessels above 20 years that is on order. And with that we basically don't look at the order books as a big threat, particularly so for the VLCC going forward. There's five vessels scheduled to be delivered next year and there are 131 VLCC trade in the market which formally wouldn't be qualified to trade. Similar numbers is Suezmax. There are 108 about 20 years as we call the year come to an end. And if you look at the Afra/LR2 market combined, you've got more than close to 200 vessels trade in the market. Basically ships that are not necessarily accessible for the mainstream players. So moving from page 10 and going to 11. So in summary, we like to call it roller-coaster Bull market sales. Frontline has a modern fleet, strong balance sheet and we have -- we continue to retain the upside here. Oil supply is expected to outpace demand in 2025 with the implications that may occur, the current trade flow developments are challenging as sanctions bite and I put bite in exclamations mark because basically the sanctions is forcing the long ton miles onto ships that we don't identify ourselves with. Policy changes on Middle East and with the maximum pressure which Trump has been calling for going forward, this will be very interesting space to watch. The order book growth has stopped and modern asset values remain firm. On a small note on that, with the order book now kind of moving into 2028, no shipyards are in any urgency of discounting tankers as they are or they continue to be busy contracting or getting interest or contracts on container ships and other asset classes. And also some fun fact at the end of the presentation. World oil trade is now serviced by the oldest fleet in more than two decades. You need to go back to 2002 to have an average tanker fleet of this age, which is somewhat surprising considering the efforts in trying to reduce emissions and the tightening kind of scrutiny around the world we're observing. So with that, I'll open up for questions.
Operator: [Operator Instructions] We are now going to proceed with our first question. The questions come from the line of Jonathan Chappell from Evercore. Please ask your question.
Jonathan Chappell: Thank you. Good afternoon. Inger, I want to start with you. I know you've done a lot with the capital structure this year, refinancing, paying down debt, etc. As the market becomes bit more volatile and maybe lower lows that people are concerned about, maybe just the leverage by appearances looks still a little high. So has there been any thought about taking the strong market that we've had for the last couple of years, some of the strong asset values, some of the fleet, older fleet that you sold and even though you don't have any near-term big debt maturities, to be a little bit more proactive in deleveraging the balance sheet in this part of the cycle?
Inger Klemp: My thinking is that the long term value that we have currently is just below 50% and we don't really see any [technical difficulty] modern fleet will decrease in value. So we don't really see that this is the high leverage that you probably are running out to, we are comfortable with that debt level.
Jonathan Chappell: Okay. Lars, you touched on a couple times narrative geopolitics watching what's going to happen from here. Maybe we could just tease that out a little bit because sometimes the narrative kind of dominates the view of the market. I think there's probably two, well, one thing that people are really focused on and one thing maybe a little bit less so, so maybe short answers to both, but if there were to be a resolution in Ukraine, but the sanctions and the pressure were to be ratcheted up on Iran, what would be the puts and takes of those two things happening somewhat simultaneously?
Lars Barstad: Well, you know, if, kind of let's do the Russia-Ukraine first. The sanctions that are imposed on Russia are I would argue somewhat flaky. So Europe is buying record amounts of gas from Russia, whilst they're having this price cap on oil and products. We're also just as a coincidence buying a record number of fertilizer from Russia as well. So this kind of leads me to the thinking that any kind of long-term solution to the conflict or the relation from Russia on Ukraine, I think these sanctions may be reversed fairly quickly. The political cost of holding these sanctions in place, particularly now coming into or what's expected to be a cold winter in Europe, could actually motivate politicians to actually walk back on these sanctions fairly quickly. This would almost immediately put a lot of oil, which locally belongs to Europe back into Europe and that would push a lot of the Atlantic Basin barrels to find another home and that's more likely to be priced into Asia, incurring longer term miles. If you on top of that do something about Russia, sorry about Iran and I mentioned it numerous times that Iran are having very, very great success in exporting huge amounts of oil despite production. And if one is able to limit that, that oil also needs to be replaced. And there the likely replacement is from OPEC. It's quite surprising to me that OPEC are happy kind of cutting them up about they are, watching Iran growing their exports. And so if something happens there as well, this means that the Iranian flow needs to go on compliant tonnage and that will kind of give an exponential effect on our market. With regards to the Russian fleet, basically what's happened over the last couple of years is that Russia is now more than or closely self-sufficient on how much they're required to 300 vessels, you know, split, you know, kind of major or to the most part it's Aframax and Suezmax, meaning that they can cater for their own volume. So you're not going to have this massive shift, of course some of these ships are coming back to the compliant market once sanctions are lifted. But we have to consider that the average age of this fleet, more than half of these vessels are north of 20 years old and those we don't believe kind of compliance charters are going to change their age restrictions just yet.
Jonathan Chappell: Okay, that's very helpful. Thank you, Lars. Thanks, Inger.
Lars Barstad: Thank you, Jon.
Operator: We are now going to proceed with our next question. The questions come from the line of Omar Nokta from Jefferies. Please ask your question.
Omar Nokta: Thank you, Lars and Inger, good afternoon. Just a bit more kind of discussion from my end on the market itself and wanted to ask just in terms of how the VLCC market specifically how that's been developing. You know, it seems and I think Lars you touched on this early in the presentation. You know, rates tend to be drifting at unexciting levels, then a run-up in charging activity takes rates higher, but then that activity kind of slows again and you're back to where we were and it just seems that rates are in this narrow range of call it for modern ships, maybe 25,000 to 50,000 and that's been the case seemingly since August. Do you think that there's a case that we can't see rates break out this winter or is there just simply not enough cargo in the market to move?
Lars Barstad: As you know, Omar, that's a very difficult question to answer. I think kind of the fact that we are actually in fact ranging is a sign that the market balance is not that completely awful. It's basically we're just missing kind of those incremental barrels that we need to push the scale further. I would say though that the market has changed characteristics a little bit. We have the Middle East or the Ag market as we call it, which you know, is kind of, you know, there are Asian interests in more than 80% of those cargoes and Asians again are friendly with each other. Meaning that you don't really get pressure out of those negotiating. So basically it's the Atlantic Basin that needs to price the markets. This TD3C which is the benchmark index for Middle East to China, have kind of -- it's like the Dow Jones freight, but it has the least kind of open interest to use the term from the oil market. So, you basically need that anti-basin to price because the mechanism then is that the vessels will just shun it, go straight to U.S. Gulf, Brazil or West Africa because that offer better return. And for that we basically lacked the expansion in ton miles from those Atlantic Basin east. I mentioned that in my presentation that, that volume has been more or less flat. So we need some dynamics to change here in order for that to occur basically to force Atlantic Basin barrels to not force them, but attract them to Asia to a greater degree than what we've had. So, I would say, if you ask me right now it seems like we are in this range bound kind of motion, but again, the balances are still tight. You know, we're actually making black numbers on the fixtures we make here. So it's not an absolute disaster, but it's very difficult to put beyond this 50k per day as you described.
Omar Nokta: Yes, thanks, Lars, appreciate that and the difficult, definitely difficult question to answer and maybe I'll throw another one at you, that's probably, you know, perhaps just as difficult or we'll see. But I guess maybe just in terms of, you know, 2025 and as talked before and with Jon, there's so much going on between, you know, the Middle East conflict, Russia-Ukraine, the Red Sea, Iran, OPEC changes, there's just a lot of different variables. How in general would you see from your vantage point heading into 2025, what do you think is the base case next year for VLCCs in terms of earnings potential? I know it's obviously very difficult to define, but maybe just in relation to how 2024 is averaged, how would you say from your perspective what 2025 will look like relative to this year?
Lars Barstad: I was actually hoping that 2024 would be what we now probably have to wait until 2025 to see if - kind of we've completely underestimated to which extent this current state of the market can extend. I think it's on [technical difficulty] fees will be above that, 6%, 7% of the oil fees from the sanctions and so forth and everybody would be happily trading. You know, I would say that's impossible, but apparently it's not. I think the exciting part is that the incoming kind of government in the U.S. are arguing for very hard stance on, you know, [technical difficulty] I think it's obvious to most what kind of these exports is financing. I think it should be also even at some point here obvious to IMO that they shouldn't maybe focus on, you know, what's going on in the unregulated shipping market rather than talking about decarbonization every turn. So I'm very hopeful. I'm also, I think kind of we are extending ourselves here not by way of Frontline, we're very happy, but the market itself is extending itself here. So, kind of any adverse event in this market, say [indiscernible] we discussed, if something happens with Russia-Ukraine that shifts the balances, if something happens to Iran and they miss their ability to export. We're extremely sensitive to these changes which obviously would put the tanking market in a all of a sudden and you know, in a very, very strong position.
Omar Nokta: Yes, understood. Well, largely appreciate it. I'll turn it over.
Lars Barstad: Thank you.
Operator: We are now going to take our next question. The questions come from the line of Sherif Elmaghrabi from BTIG. Please ask your question.
Sherif Elmaghrabi: Hi, thanks for taking my questions. I was hoping you could give a little bit more color on the sale and purchase markets. It seems like asset values have softened slightly in the last month or two and I'm wondering is that due to more sellers coming to the market? Maybe less appetite for vessels from the dark fleet? Any color would be helpful?
Lars Barstad: I think it's a combination of less appetite from the sanctioned trade. I mentioned previously that Russia are themselves more or less saturated in respect of the fleet they need in order to trade their markets. The margins, as I believe we mentioned little bit in our Q2 presentation, the margins in this market is under pressure. We're even seeing that discounts on Iranian crude are getting smaller and smaller, meaning that there's less cost for freight. So there is hope that these markets are getting saturated with the effect that the latter or the older part of the tanker fleet will lose that kind of bid and you'll have an adjustment in values. This is exactly why Frontline has been so focused on selling [technical difficulty] basically because we've seen that gap you could say or over performance on asset values on the more older [technical difficulty] to be extremely risky. So, but I think kind of from what we're seeing, it's not many weeks ago that we saw fairly good prices on modern second-hand vessels. Right now the market is a little bit paralyzed. There's nobody really exchanging kind of numbers nor trading ships firm. But we're quite comfortable that for the modern part of this fleet it hasn't actually grown at all for the last couple of years and that the downside is very limited. But for the older part of the fleet and the tail end of the curve, I think we'll need to kind of recycling parity fairly soon.
Sherif Elmaghrabi: Thanks. And then regarding this phenomenon of larger tankers that are trading products, hearing some industry reports that they're coming back into the dirty trade, my question is, what keeps them in the dirty trade once they switch back, especially kind of you highlighted what's going on with the rate momentum heading into December?
Lars Barstad: Well, it's, you know, this is just pure mathematics or economics to put it that way. If you have the ability, you know, when the crude market is subdued and you have a vessel and a cargo history that gives you the opportunity to within a reasonable cost clean-up, you will do that. But, you know, none of these ships on the crude tanker side are really designed to carry product. So it means that they can't do it for an extended period of time. But I think kind of the key motivation here is the economics. And obviously now the clean market is not offering the economics to compete with crude. And basically that you rather than switch back. But I think what this has showed us that we saw kind of in May, June this year is that the efficiency between asset classes has increased. We were ourselves surprised to see how quickly kind of these e-comms put crude tankers into the clean trade. But that was obviously also due to the fact that the crude market was challenged at the time. So this will kind of in a scenario, say if the clean market suddenly rallies now, you would get crude vessels to clean up. But in a case where both rallies, you know, you won't have that kind of interconnectivity between the Afra classes.
Sherif Elmaghrabi: Yes, that's very helpful. Thanks for taking my questions.
Lars Barstad: Thank you.
Operator: [Operator Instructions] We are now going to proceed with our next question. The questions come from the line of Devin Sanjoy from [indiscernible] Investment. Please ask your question.
Unidentified Analyst: Hi, Lars, I have a couple of questions. One on the China demand because I asked you last time. So there's been a massive shift and significant downgrade in the consumption pattern due to shift to LNG and to more cleaner EV. How do you see the demand going back into 2025 and how much difference does it make to overall tanker demand?
Lars Barstad: No, you're absolutely right. There is particularly on the heavy duty trucks, there's heavy subsidizing going on in China in order to kind of get that fleet with checked up to 16 million vehicles or something to get them to go into, you know, for east, let's call it gas propulsion, it's LNG and LPG where with staggering sales numbers where 50% of new sales are actually on alternative fuels, you know that is being reported to have reduced diesel demand in China by somewhere between five and seven hundred thousand barrels per day. This is out of 3.5 million barrels per day with the current population of alternative fuel kind of heavy duty trucks. Having said that, we're actually at a very good position to having observed these kind of developments ourselves, particularly from Norway, because Norway has had the highest penetration -- the highest new sales of EVs in the world for a long period of time. There were more Teslas sold in Norway than in the U.S. due to heavy subsidizing. And basically surprisingly we've seen that fuel demand has not fallen as expected, which basically leads us more onto the point that it's more activity and consumer driven than actually the penetration. Even though you have two or three million alternative fuel trucks or maybe more, 6 million I guess you could get to fairly soon in China, you still have that existing fleet that is also driving and on increased economical activity these tend to drive longer at least or further. This is at least what we've experienced here. On the EV side, there's a huge population of cars in China. I think we are still some years away from that market getting to tipping point where actually petrol demand starts to decrease materially. But I think kind of we have to expect that in most markets around the world except U.S., we are actually getting to stages where at least for personal cars demand is not expected to grow materially. And it's actually -- we reached peak gasoline demand in many countries already. But kind of on that note, what we haven't seen peak demand of is on petrochemicals. So if you look at the various agencies and how they report on petrochemicals, there is the tremendous growth. So this means that, you know, although transportation is a huge part of the demand picture, we're also seeing quite sustainable growth on demand coming from the pet chem markets. So I think kind of it's a little bit too early to call the doom to oil demand basically due to high numbers of sold EVs in Asia or in China.
Unidentified Analyst: Second question is on the OPEC. OPEC has kept on pushing back the production increase. What's your view going back, going to the 2025 year, how do you see the production? Will they focus on market share or will they focus on price stability?
Lars Barstad: That's the 10 or [technical difficulty] isn't it? You know, we read the same narrative as you do, you know, one month, you know, it said that OPEC will look or particularly so Saudi will focus on market share rather than the absolute price. And you know, kind of a month after it's that the narrative is completely the opposite. What surprises me is, is that we are actually in this territory for such a long period of time and it's quite impressive to see OPEC so disciplined as they see non [technical difficulty] production numbers increase and taking market share to this extent. So it's logically for me, you know, I can't really understand why they're so disciplined. But that's only, you know, kind of how I see it. But I think kind of it's a very, it's very difficult to understand what's happening in the whole west of Vienna, well, actually online now on Sunday, but you know, when they discuss these matters.
Unidentified Analyst: And how do you see the current season, current quarter, which is typically very strong, we haven't seen that. But as we go in December and January, how do you see the season going forward?
Lars Barstad: Sorry, I missed that, what, seeing what?
Unidentified Analyst: How do you see that, typically this quarter is the strongest quarter for the rates, but we haven't seen that. So how you see the rates going forward in December and January peak winter?
Lars Barstad: Well, it's actually been noted by a couple of kind of market analysts that maybe Q1 will be the new Q4. We've seen that on a couple of occasions that on the event of Q4 failing, Q1 has come back with a vengeance. You know, it's impossible to call. There are many factors that affect this. But I think kind of at what's the point in our presentation here, I think this kind of maximum pressure to owe on Iran is far more interesting coming into next year than the potential kind of seasonal slip where we're actually we see incremental demand coming in as we start to move into the new year. So I think kind of, I'm more excited about political events coming into the New Year or in the near term than whether if the seasons have shifted. But it is a fact we have actually seen seasonal demand increased into Q1. You know, there is kind of increased degree of refinery turnarounds, basically putting more oil available for trade.
Unidentified Analyst: Lars, what makes you so confident about the Iran? Is it the change in the political scene in U.S. with the Trump administration coming in, that Iran sanction will become much more tougher or it's something else?
Lars Barstad: No, no. So we're completely a political. But it is a fact that Iranian barrels are sanctioned by most of the countries in the Western world. The way they're able to evade these sanctions is by engaging in ships that are not kind of regulated by or adhering to any of the IMO kind of principles. So -- and I don't think or I hope that's not a long-term situation. So something has to give her at some point. Actually, the most bullish scenario you can paint is that all sanctions are listed on Iran. That would be a fantastic scenario.
Unidentified Analyst: Thanks, Lars. All the best.
Lars Barstad: Thank you.
Operator: We have no further questions at this time. I'll hand back to you for closing remarks.
Lars Barstad: Well, thank you very much for listening in and please don't forget [technical difficulty] 2004 we also thought it was the doom and gloom and then only months after we were really rallying for the skies. So hopefully we'll -- this market will develop a bit more excitingly than we expected for this quarter and have a good Christmas presentations. Thank you.
Operator: This concludes today's conference call. Thank you all for participating. You may now disconnect your lines. Thank you.